Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2012 K12 Inc. Earnings Conference Call. My name is Tehisha, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Harry Hawks, CFO. Please proceed. 
Harry Hawks: Thank you, and good morning. Welcome to the K12 Second Quarter Fiscal Year 2012 Earnings Conference Call.
 Before we begin, the company would like to remind you that statements made during this conference call and that are not historical facts may be considered forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve risks and uncertainties that could cause actual events or results to differ materially from those expressed or implied.
 In addition, this conference call contains time-sensitive information that reflects management's best analysis only as of the date of this live call. K12 does not undertake any obligation to publicly update or revise any forward-looking statements.
 For further information concerning issues that could materially affect financial performance related to forward-looking statements, please refer to K12's Form 10-Q and 10-K filings with the SEC. These filings can be found on the Investor Relations section of our website, www.k12.com.
 In addition to disclosing results in accordance with generally accepted accounting principles in the U.S. or in other words, GAAP, we will discuss certain information that is considered non-GAAP financial information. A reconciliation of this non-GAAP financial information to the most closely comparable GAAP information was included in our earnings release and is also posted on our website.
 This call is open to the public and is being webcast simultaneously on our website. The call will be available for replay there for 60 days. With me on today's call is Ron Packard, Founder and Chief Executive Officer. Following our prepared remarks, we will answer any questions you may have. I will now turn the call over to Ron. 
Ronald Packard: Good morning, and welcome to our earnings call for the second quarter of fiscal year 2012. Our revenue for the quarter was $166.5 million, and EBITDA was $21.9 million. The quarter had increased revenue from higher than anticipated in-year enrollments, offset by revenue adjustments related to potential funding reductions. These potential funding reductions had an adverse effect not only on revenue, but also on almost dollar for dollar effect on operating income EBITDA. 
 To begin, I'm pleased to report that just days ago, the Washington State Board of Education conferred upon the Washington Virtual Academies its prestigious 2011 Washington Achievement Award in the category improvement. The notification letter explain that the highly selective award is to celebrate the state's top performing schools based on performance on a comprehensive measurement index. We are proud to be affiliated with these schools. 
 Turning to other developments in the past quarter. Our core online public school business continues to experience a favorable business development environment. Most recently, on February 1, the governor of Wisconsin signed a bill that increased the state's open enrollment period from 3 weeks to 3 months and establish the process for year round enrollments in certain cases. Taken in combination with the prior elimination of the virtual charter school enrollment cap, we believe thousands of additional Wisconsin students could enroll in this upcoming fall. 
 Additionally, educational liberty took a big step forward in Iowa with the approval of the new statewide virtual academy. This online public school will service students in the Clayton Ridge school district and statewide in grades K through 6 beginning next year and will -- the middle and high school students in subsequent years. 
 Using Iowa certified teachers to satisfy the demand for personalized learning programs, the Iowa Virtual Academy will help children succeed in ways not previously available in the state. 
 We have also made further inroads in Florida. Last year, a law was enacted that allows virtual charter school on a county-by-county basis, and we are affiliated with numerous applications to do so. This quarter, we received the first approval in Osceola County. 
 In addition, we are still seeing promising results in sales of our institutional products to school districts throughout the state. We anticipate that Florida will be served by a variety of schools that we manage, as well as school districts that manage their own programs using our technology and curriculum. 
 As mentioned earlier, in-year enrollments continue to be better than forecast. Student retention rates are also similar to last year, despite our significant growth enrollment. We believe this reflects high customer satisfaction and a growing demand for virtual school offerings. 
 Interest in individualized education options from virtual academies to hybrid schools to online district programs remained strong. Total average enrollments at the end of the quarter increased to approximately 144,000, a 46% increase as compared to the same period in the prior year. Counted on a full time basis, these enrollments include students in managed schools, private schools and online programs offered by school districts. 
 In fact, over the past 2 months, our institutional sales business to school districts has closed more than 200 contracts with school districts, and we have not seen any slowdown in new district opportunities. 
 Our private school business, which now serve students in 85 countries, continues to grow. Enrollments at our K12 International Academy and Keystone Schools each increased by approximately 30% year-over-year. 
 During the quarter, we announced the opening of the Dubai Women's College High School, a cooperative venture to provide young women with a high-quality international education delivered in English. One year ago, we made an investment in Web International English, a private pay English language learning company in China. Web's performance remains strong and is now expanded to 103 learning centers in 53 cities. We are currently evaluating our option to acquire the remaining 80% of Web. 
 At K12, we remain focused on developing and distributing world-class curriculum. In fact, our curriculum just received the Reader's Choice Award from District Administration magazine, a publication that covers matters of important to principals and superintendents. We have also created new ways for students to access our curriculum. For example, we now have 31 e-books available across our core subjects, and we have surpassed 300,000 downloads of our mobile apps. More apps and e-books are on the way later this fiscal year. 
 K12 is undeterred in its mission of maximizing a child's potential regardless of circumstance. We continue to build outstanding curriculum and managed schools. We are blessed to have so many teachers who have the passion to deliver great education that improves the lives of their students. Parents regularly contact us with reports on how their children made great progress in the schools we manage and how they view this form of educational liberty as a means to a more productive future for their children. 
 I will take this opportunity to personally thank all of the committed employees of K12 for the dedication and hard work that allows them to make a tremendous difference in student lives. I also want to thank our investors, who have supported us and remain committed to our mission. 
 Before I turn the call over to Harry Hawks, I want to mention that we're updating our guidance for the year. We are maintaining our previous revenue guidance of at least $680 million and updating our EBITDA guidance to a range of $85 million to $95 million. 
 Finally, we will be holding an Investor Day on March 15. The details will follow in the next few days. At that time, we will present the most recent data and research on academic performance of our students in our managed schools. I hope to see all of you there. 
 Now, I'll turn the call over to Harry. 
Harry Hawks: Thank you, Ron. Good morning to all of you participating in our call and webcast. I'll address a few key topics before we open the call for your questions. First, I'll quickly summarize our second quarter and 6 months year-to-date results as compared to the comparable period last year. 
 Revenue in the quarter of $166.5 million is an increase of over 29%. On a year-to-date basis, approximately $360 million of revenue is a 36% increase over prior year. 
 EBITDA of $21.8 million is a decrease of 10%. However, the year-to-date revenue, excuse me, EBITDA of $43 million is an increase over prior year of about 10%. Operating income for the quarter of $7.1 million, and a year-to-date operating income of $15.4 million are an increase over prior year on a year-to-date basis of about $4 million. 
 Net income, $4.2 million in the quarter, $8.8 million year-to-date. On a year-to-date basis, that's about $1 million decrease versus prior year. EPS in the quarter, $0.11, year-to-date, $0.23. $0.23 compares to $0.30 prior year. 
 Second, it's worth another comment, as Ron mentioned, we made a revenue adjustment in the quarter to allow for potential funding cuts, which may occur. And we've thought that was prudent to do. That is unusual for us. We've never had that kind of situation before or for the past number of years. The net total adjustments made throughout the year was actually net positive. And so this is an unusual item where we are reacting. We believe in a prudent way to a short list of just a low single-digit number of states where there may be changes in funding. 
 Third I'd like to comment is how that affects the sequential look at the numbers. We've talked about the comparison to the comparable period last year. On a sequential basis, where many of you frequently take a look at the normal seasonal pattern of our business, the effect of these adjustments distorts the normal seasonal step down between Q1 and Q2. This particular second quarter reflects a $26.8 million reduction in revenue versus Q1 or about 13.9%. 
 In contrast, last year, between Q1 and Q2, the reduction was $5.9 million or 4.4%. If you go back to fiscal '10, the reduction was around 12%. So the reduction is exacerbated by the adjustments previously mentioned. 
 Also, on expenses, it's worth making a comment about the -- or excuse me, the sequential trend in expenses. Instructional cost decreased from $108 million to about $101 million. SG&A decreased from $71 million to $51 million. Professional development was up slightly about $1 million in the period. In total, operating expenses -- total operating expenses decreased from $185 million down to $159 million. That is a nearly $26 million or 14% decrease sequentially from Q1 to Q2. 
 I'll also point out something we don't talk about much on this call is on a year-to-date basis, we are actually about -- within 1% of our internal plan on expenses. So the results in Q2 are almost all exclusively the result of the adjustments to revenue. 
 Fourth point, our financial position is excellent. We have substantial liquidity and financial flexibility. At December 31, our cash balance was around $134 million. Our working capital position was quite strong. We had 0 bank debt and only about $33 million of computer-related capital leases outstanding. The reduction in cash from June 30, our fiscal year end, is almost entirely related to the seasonal buildup in accounts receivable, funding of investments in CapEx during the period and to a great extent, the provision of working capital of the schools acquired in the capital and transaction and new schools that we have launched for this year. 
 Cash at December 31 was actually essentially flat, however, with September 30, after about a $14-million reduction in accounts payable and accrued liabilities, about $13 million in CapEx during the period and other related expenses. Therefore, indicating good liquidity within the quarter. 
 Fifth, the financial strength of our company also gives us the wherewithal to develop leading online curriculum, take risk on new technologies and continually reinvest in our company. In fact, to date, we have invested over $260 million in curriculum, technology and learning platforms. The capital investments made during the quarter are included in our full year forecast or almost all related to curriculum development, software development and systems enhancements. These important investments support our education mission first and foremost, while also contributing to a scalable infrastructure to support our growth. 
 We have provided updated fiscal 2012 guidance in the press release. Quickly summarize, we expect revenue of $6.80 to $6.90. EBITDA of 85 to 95. Depreciation and amortization of 53 to 57. I will note that at 6 months year-to-date, depreciation and amortization is around 27.7. So it looks like that's on track. Capital expenditures of about $45 million, year-to-date, that's around $21 million. Capital leases of around $20 million. The tax provision of 44% to 46% is the guidance, largely driven by reduction in nontax deductible items this year. In the quarter, the tax provision was 43.4%. On a 6-month year-to-date basis, it's 44.8%. So the tax provision guidance looks in line. 
 We have previously mentioned the transaction expenses system implementation expenses, startup losses are also included in this year. The estimates given above actually give effect to those cost and expenses and are baked into those numbers. 
 Last comment, you'll notice that we filed a 10-K/A on December 8, 2011. The numbers didn't change. The amendment was only to incorporate -- excuse me, XBLR [ph] compliance in support of the TCB registration statement, which indeed was a full S1, as we were not able to utilize S3 in that particular case. 
 Operator, we'd be pleased to take questions at this time. 
Operator: [Operator Instructions] Your first question comes from the line of Suzanne Stein from Morgan Stanley. 
Suzanne Stein: First of all, I wanted to just confirm that there are no one-time charges in the quarter. 
Harry Hawks: Well, there are some. We just didn't break them out. 
Suzanne Stein: Can you give us a sense of what the one-time charges would be? 
Harry Hawks: Well, the transaction-related expenses, systems development cost were consistent with what we said at the beginning, in the first quarter. And we said there, and we haven't updated it or changed it, that -- hang on a second, let me just get it and I will give it to you. I believe we said, $6 million to $7 million. Sorry, since we didn't bother to break it out this time, I want to go back to the first quarter and make sure I get it right to you. So why don't you continue, and I'll come back. 
Suzanne Stein: Okay, sure. The Q2 students in managed schools increased versus Q1. I know you touched on it. But can you give us just a little more insight into why that number changed so significantly? 
Ronald Packard: Well, what we're seeing is -- we're seeing, again, stronger than anticipated student demand. So remember, we had seen for the year, in September and October, much more growth in enrollment than we had thought we would have. And that trend is continuing. So we're continuing to see an increase in the number of students and student demand. And we're also seeing the cost of -- the cost to get a lead is going down, and conversion rates are higher. So we're just -- the in-year enrollment is continuing to trend stronger than anticipated student demand. 
Suzanne Stein: So following the negative press that started in December, has there been any change whatsoever? Or are you just seeing just kind of business as usual on the demand holding up? 
Ronald Packard: We've seen no perceptible change in student demand at all. In fact, you might think it's even stronger than anticipated. But we -- in general, we can see no observable effect on student demand of any of the events of the fall. 
Harry Hawks: Susie, just to follow up. What was mentioned in our Q1 release was the following: Transaction merger, integration system, implementation-related cost of $6 million to $7 million for the year, losses from startup initiatives of $5 million to $6 million for the year. And we said that, that would be more front-end loaded in the year. And so, in terms of the transaction costs, and that's largely correct. In terms of initiatives, losses from startups, that's probably another $2 million in the back half of the year for that. But the reason we didn't break it out, just to be clear, in the second quarter release is that we're going to live with these kind of expenses, and we're not providing adjusted EBITDA or a schedule of one-time only type of expenses. We're just going to live with them and report numbers to you as they are reported. So we're trying to be even more and more conservative. And when we give you an EBITDA number, it's fully loaded. 
Operator: Your next question comes from the line of Sara Gubins from Bank of America. 
Sara Gubins: I wanted to follow-up on the comment about the $8 million adjustment to revenue because of funding. Can you just talk about what you're seeing in the states that you think will lead to that lower revenue? And when would you expect to know for sure? 
Ronald Packard: Sure, I can take that. So there's a few states where there's been some kind of, I don't want to say statements, whatever, that there may be funding reductions, and that's different on you. We try to model out always what we expect for funding, and we leave some room to have some. So we just felt it was prudent and take into account that this could happen, which means you adjust your revenue downwards for the quarter and taken to account what happened for the first quarter as well. These are by no means certain. I would describe them as possible, but not certain. So if they don't happen, then it becomes very, very easy for us to make numbers. And if -- at the top of the guidance. And if it does, you push down from there. But it's a hard thing to do, right? Because we have to estimate continuously what funding will be in states and have to try to reflect in the financials anything that we hear is positive that becomes possible to happen. If that helps -- and when you do that, it's one-for-one effect, not only on revenue, but also in EBITDA and operating income. 
Sara Gubins: And when do you think you would know about this? I mean, this isn't typically the budget season for states. So this would be a midyear budget cut? 
Ronald Packard: It absolutely would be a midyear type of cut. And we -- like I said, previously, up until probably until 2008, you never really saw much adjustments or anything in the middle of a school year like there were set in the summer. And then as states had more fiscal tightness, you've seen in various times in the last several years, funding cuts, and sometimes you see funding increases as well. So generally, I'd like to believe that we've come to certainty on that -- on whether these will happen or not in the next few months. So I would think by April, we would know, with certainty, yes, they're happening, or no, they're not happening. 
Sara Gubins: Okay. And then I know that you don't model it this way. But we have looked at revenue per average student. And even if I take out that $8 million, it was still down 7% year-over-year, which was well below what we saw in the first quarter. So I'm trying to understand what would be driving that, if its mix shift across states, or maybe funding cuts that you've already seen. If you can give any clarity on that. 
Ronald Packard: Well, I think there's 2 things I can say to that, that would probably help. When you compare year-over-year with the previous year's quarter, that had an adjustments where this had, this $8 million down, I believe, and Harry can confirm this and have a $4-million adjustment off as it became positive variance a quarter ago. So that would give you another $4 million when you look at a quarter-over-quarter this second quarter versus last year second quarter. But there also, as you have the institutional manage programs growing at a slightly faster rate, there is some mixed shift to a slightly lower revenue from that mixed shift. 
Sara Gubins: Okay. And then, last, if you could talk about the new state pipeline and whether or not you've seen any increased question following up on the New York Times article from either regulators or legislators? 
Ronald Packard: With that, I think, we're still in the process that we're very happy obviously that we're going to be opening in Iowa. And we seem to be doing pretty well in that dimension. I think there are several other very good probability candidates. Do we see questions about it? Yes. I mean, is it affecting it? I think it's too early to tell. I mean, I think we'll have much better idea from that over the coming 3 to 6 months, as the picture becomes clear. But we see some questions, but it doesn't seem to be having a significant adverse affect to date, but that doesn't mean it won't. 
Operator: Your next question comes from the line of Kelly Flynn from Credit Suisse. 
Kelly Flynn: I have a couple of questions. First of all, just back to the state funding issue that Sara was just asking about. Can you just clarify what exactly happened that was worse than your expectations? I mean, I think last quarter and in the past, you've had pretty good visibility on trends, at least maybe sort of 3 to 6 months out. So I mean, what exactly did you see that was so dramatically different than what you expected? 
Ronald Packard: It was really in the last several weeks, last few weeks that we, in a few states, basically, had information that came to us that said there may be this much per-pupil funding reduction having -- one state having to do with some policies and the other state having to do with just budget-related cuts. And so we basically just got that information and just thought it was prudent to put it in there while we're obviously still in discussions to make sure that -- to try to make this not happen. But we just -- so we usually have pretty good visibility, but a lot of what you see is sometimes just positive adjustments and negative. And this just happens to be more material than usual in these type of adjustments. But that's what happened. And it was in -- I guess, there's issues in potentially 2 or 3 states that are driving this. We just thought it was prudent to make the adjustment. 
Kelly Flynn: Is this, I guess, a scene that we can extrapolate? Is it to do with just, I guess, late cycle pressures? Or I think you mentioned policy decisions? I mean, can you just... 
Ronald Packard: I wouldn't extrapolate this trend. I mean, I've been doing this probably now 12 years, and we haven't seen this very often. If you remember back, I think it was back in the '08, '09 year, we saw some of this happening in the spring because of the massive recession. But I wouldn't anticipate it. Usually they're not initially material because K12's got so many -- we're so diversified in terms of our states and portfolio that it doesn't tend -- and it tends to be always be offsetting effects. So I wouldn't extrapolate this trend. But it is a constant thing that we do is adjust estimates if we get new information. And this just happened to be more material this last quarter. 
Kelly Flynn: Okay, great. And then second question just relates to the guidance. Historically, the second half is, I don't know, let's say 35% to 45% of the annual EBITDA. So I mean, given that, I'm a little surprised you didn't reduced the EBITDA guidance you've been -- well, you didn't reduce it, but I'm surprised you did not reduce it. So that said, I mean, can you talk about some of the mechanics? First of all, the revenue. What kind of sequential revenue growth should we expect in the third quarter, in the fourth quarter? And maybe specifically, address this $8 million adjustment. Is there kind of an extra adjustment in the quarter because you included the Q1 adjustment and therefore, revenue should grow sequentially? Or how should we think about that in the third quarter? 
Ronald Packard: Yes, I'll take the high level and Harry can follow-up on, on this. So essentially, when you have these adjustments, you made the second quarter took a disproportionate hit than normal. And then we reforecast based on the new information. And in addition to -- we were able also to streamline our costs structure to additionally reduce expenses for the next 2 quarters to offset some of what these funding reductions are. So the combination that you allowed us to maintain basically, the mid-point of our EBITDA guidance of where it was on the first quarter call. So it's a combination of that -- those funding -- possible funding reductions are being offset by 2 things. One is student enrollment continues to be strong versus so we see increased revenue from higher enrollments. And then also, we've made expense adjustments to the next 2 quarters to reflect -- to offset the rest of the difference. And Harry, you want to add to that? 
Harry Hawks: Yes, I will. The first thing I want to actually add a little bit of emphasis to the point Ron has already made, the process of trying to manage and calibrate the revenue recognitions, state by state by state is the dynamic process that goes on, frankly, every single month, is a normal routine management activity of the company to work with state audits, confirming enrollment numbers. So there's an ebb and flow every single month as we work to make the numbers right. And so this is unusual for us. But it's not at all unusual that every single month, we try to stay on top of this one state at a time. Moving onto the guidance. Let me be -- I'm going to make a real attempt to be responsive and helpful, but I just need to caution that anything I say here is not changing or amending the guidance that we just gave in the press release this morning because we give annual guidance only, and that's the guidance we give. And that's kind of frankly how we manage the business on an annual basis versus the quarter. However, in the spirit of trying to be responsive, if you take the -- we said that revenue is anywhere from $680 million to $690 million. If you use $690 million as an example, obviously, $360 million year-to-date revenue, that means $330 million in the back half of the year. That is -- does represent the normal sort of seasonal relationship that we have of less revenue in the back half of the year than the first half of the year. As you look at the implied -- the implication of an EBITDA range of $85 million to $95 million, or depreciation and amortization range which I guess the mid-point is $55 million, that puts you in the $30 million to $40 million range on operating income as implied by the full-year guidance. If you come at it the other way from what does that mean on expense, then that means that year-to-date expense is $344 million, $345 million. And then if you -- so once again, stick with the same sort of what's implied for expenses in the back half of the year, you'd say that's $310 million, or if you will, a decrease in expenses from the first half. So -- but what is implied in the full year guidance, if you just subtract the way, the actual year-to-date, is something that does indeed represent the normal seasonal pattern of slightly lower revenues in the back half, slightly lower expenses in the back half to get to the incremental EBITDA contribution from the back half. Should we be able to perform at the higher end of the revenue, there are some variable costs that would go up. And so therefore, the cost would go up accordingly. But I don't know, from the way we look at it, what's implied by our full-year guidance, subtracting out year-to-date, seems to be in line with prior seasonal patterns to the point of Ron made of continuing to engineer cost efficiencies and operating leverage, we are indeed trying to do that. So we do hope to see a return to, if you will, gathering operating leverage out of growth. And then, I think your question was third quarter versus fourth quarter. I think I'll respectfully, politely, just leave my comments as second half rather than third quarter versus fourth quarter. But anyway... 
Kelly Flynn: Oh, what I'm trying to figure out is this is $8 million hit, I mean, is it double counting because it's including kind of a charge or something that should have really been in Q1. And so you're kind of going to pick up some revenue in the third quarter relative to Q2? 
Harry Hawks: Well, I guess I have to repeat what I just said. 
Kelly Flynn: Okay, no, it's all right. We can talk about it off-line. I don't want to take up too much of the call. 
Operator: Your next question comes from the line of Jeff Silber from BMO Capital Markets. 
Jeffrey Silber: Just one more question about the guidance. You had mentioned the potential for expense reduction in the second half of the year. Are there any specific line items where you may have an impact on that more than others? 
Ronald Packard: We went through -- there really -- they're going to hit almost every line with -- there'll be significant amount coming out of -- SG&A would probably be the bigger one in some. There's a lot easier to do that than it is, obviously, the instructional expense. So I think you find it -- and I think you also see something come out of product development as well. So I would say, but there'll be expense reductions in all 3 lines. I mean, that's what management does as we react to news and we make the adjustment. So I think you'll see in all of them, but probably a little less though, instructional costs. 
Jeffrey Silber: Okay, great. I appreciate that. I want to go back to the environment generally for your business and others in your area. I know in my state, and particularly in New Jersey, we've seen a lot of backlash from some folks in local school district opposing the progress of charter schools more because of fiscal issues saying that the money has being taken away from their local school district. I know you operate more in the state level. But are you seeing that kind of negativity across some of the state that you're operating in as well? 
Ronald Packard: The reaction you described against charter schools, I'm pretty much been watching that since 1997, since I got involved in education. We see less of it because we're taking such a small percentage of kids from any district. You might see a district having 1% or 2% of the kids that it becomes a much lower effect, whereas if I open up a brick-and-mortar charter school, you could take 400, 500 kids from a single district. So I think it's less that type of reaction. Generally, I think the business development environment with regard to charter schools as a whole, maybe not at the local township level. But generally, I think there's becoming increased awareness that there's a lot of charter schools to do a great job in offering kids more choices. I mean, I think the movement is actually gaining steam more than losing steam. But that's just my observation of it. I think the other thing what we're seeing with our schools is because we're taking a lot of the kids that the system has already failed. And you look at what we're doing in Chicago with drop outs, I mean, I'm seeing tremendous demand for how we can use kind of hybrid settings or perhaps full-time virtual to allow kids who are either going to drop out or have dropped out of school to succeed. So I think it's hard to make a gross generalization, and it depends on the individual situation. 
Operator: Your next question comes from the line of Mike Malouf from Craig-Hallum. 
Michael Malouf: If I could just move the conversation to -- with international. Can you talk a little bit about what decisions need to be made before you complete that transaction? And then, assuming that, that does get complete, can you talk a little bit about the potentials there for revenue acceleration and any changes that you might actually implement with regards to doing that? Or is it just going to be just a standalone company without any impact? 
Ronald Packard: Sure. So Web continues to grow very rapidly, I think faster than we expected it to grow. And so what's happening is we need to do obviously extensive just financial due diligence to make sure the company is what we believe it is and the information we get. And then we also need to prepare internally so that when we acquire a controlling interest that we can consolidate it. I believe the opportunities for Web are meant. Given the size of the, obviously, the Chinese market and the consumer pay nature, we believe that it could continue to grow at these rates for -- high rates for a long time. We've already opened a center, one center -- they've already opened a center dealing with younger children that can potentially also benefit from K12's content. So I think once we have it, you'll continue to do business as you're doing it, because it's doing incredibly well. But I think adding some online wraparound products and also adding more centers geared towards younger children as opposed to young adults, just completely -- just expand the potential of that business immensely. 
Michael Malouf: Great. And then, how is Kaplan faring? And are you still on track for profitability next year? 
Ronald Packard: So Kaplan, to the -- there's 2 things from that acquisition. One was the private schools, which we've actually transitioned most of those children to one of our existing 3 schools. So that part has gone very well. And then with regards to the insight network of schools, I think we will be because we, basically, we couldn't change the core operating model very much in the short time, given that we took those on in July. But I think with the change of the core operating model, we'll be able to move those to where they are contributing in the coming 2013 year. 
Operator: Your next question comes from the line of Jeff Mueller from Baird. 
Jeffrey Meuler: Hate to beat the dead horse, but given the magnitude of the impact, I just want to circle back one more time on the $8 million and make sure that I got this right. So you're not taking a more conservative approach or anything to how you account for it. You've always had these adjustments, but the magnitude is bigger and maybe it's because the change was in one of your larger states this year. Is that the way to think about it? 
Ronald Packard: I think that's generally right. We've always made these kind of adjustments. And it's not a science, right? Until you have 100% certainty that it will or won't happen, you're constantly estimating how likely is something to happen. And so you make judgments calls. And we try to err on the prudent side. Where -- if there's a possibility, we'll try to make those adjustments. And I think it is one of the states, one of the larger states. So just to be prudent, we're making the adjustment this quarter. It's just your point is right because it's larger states, it's more than one, the magnitude is amplified. But it's a normal process for what we do on a quarterly basis. It's just unusual that it happens in the midyear like it has happened and the state is a little larger. 
Jeffrey Meuler: Okay. And then the second one and maybe I'm front running the information you're planning to provide at the upcoming Analyst Day, but obviously, good to hear that the negative articles haven't had an impact on the business thus far. But, Ron, what are you guys looking at doing to maybe have better third-party data or something like that, that you can present on student performance to have some of the press accounts be more positive and kind of really use more of a data-oriented way in terms of the way that you look at the data instead of just looking at the average test scores? 
Ronald Packard: That's right. I mean, and thank you for asking that. So we're planning -- we've been doing for a long time internally is we've looked, basically, we've been administering a third-party nationally norm test for several years now and we basically have looked at internally how were the gains of our students compared to gains for national norms, so you can measure what students are actually learning and how much they should be learning. So we've been doing that for a while. So I think what we're planning to do is work more with outside researchers than we have done previously and, basically, communicate pretty clearly that one is the virtual schools now are bringing in kids who were significantly behind grade level for the most part. And then, we're actually generating good gains with those kids. So I think one of the big -- one of the things we're doing a lot more of, we've always looked at internally ourselves, but we're I think beefing up the analytical capability of the company, and we're working with more third parties to actually publish some of these things. So that's a process that's underway, and we hope to have some of this and be able to share it with you on March 15. 
Operator: Your next question comes from the line of Joe Jannsen from Barrington Research. 
Joseph Janssen: This is Joe Jannsen filling in for Alex Paris. Ron, maybe can you just dive a bit deeper on the -- with regards to enrollment and talk about the growth? And is that across-the-board? Or are some states driving the majority of that growth? 
Ronald Packard: It's pretty much across the board that the states are performing ahead of forecast. Obviously, the cap states were capped. So you're not seeing any growth there, but you couldn't anyway. But we're seeing pretty much across the board we're seeing higher than forecast growth. It's an across -- the across the country thing. It doesn't seem to be depend on any region or state. It's everywhere. I think it's a combination of this model of education, which is a great choice for a lot of kids, is taking root. And an important point to emphasize is one, we take everybody who comes to us and they're -- everyone in our school has chosen to be there. And the reason they have chosen to be there is because what we're delivering, whether it be an incredible curriculum or great teachers, works for them. And that's just getting out. I mean, our customer satisfaction remains extremely high and a large percentage of our kids come to us because they're referred from some existing students, which is the best testimony in what we do. 
Joseph Janssen: Great. And just a follow-up on Susie's question about the New York Times article. You talked about the student demand side, no effect, the political side you won't know for another 3 to 6 months. Can you just talk about maybe the institutional and sales side of the business? Any drop off? 
Ronald Packard: Yes, the institutional side of business, I think I mentioned in the call in the last 2 months, we signed over 200 new contracts with school districts. So that business seems to be continuing to go on effective to the best we can tell from any of the articles. And again, school districts are a lot -- are pretty sophisticated customers. And they look at the curriculum. They look at the product. And they can see it's great. And so I didn't -- we didn't expect it to affect that much, I mean, because the products are good. And we spent $260 million developing it. Now, school districts don't need to worry about whether 75% of the kids coming to the virtual schools are behind, because it doesn't affect what they're doing. What they're trying to do is buy the best product for what their needs are, and we believe we have that. 
Operator: [Operator Instructions] Your next question comes from the line of Gary Bisbee from Barclays Capital. 
Gary Bisbee: Just want to follow up on the, I guess, 2 questions ago about what you're doing in light of trying to tell a better story after that New York Times article. One of -- in your press release sort of response to that, one of the things you mentioned was having provided data around the adequate yearly progress, about the longer the students are in your schools, the better they did or the better the progress was. And it's -- actually, you said you gave that data to the reporters. Is that data that you've published publicly for investors? Or is the data that's available out there? I guess, I was just sort of curious if you're providing data to reporter, but you hadn't given it publicly. If it was positive, it would certainly -- make a lot of sense in my view for all of us to see it. 
Ronald Packard: Well, we had -- we have had in previous investor decks for several years a chart that showed that students who were the 7 years do better than 6, do better than 5 and better than 4. So that data had been in public investor decks for several years now. 
Gary Bisbee: And that's what you're referring to in that. 
Ronald Packard: I believe so. I mean, I have to look at it specifically. But generally, we have provided for those decks how kids do based on longevity with the schools. And that's been, I think, at least for 2 years in the investor presentations. And also, if you look at our annual meeting deck, which I think is on our website, you'll see a kind of a summary of what we know and don't know academically in there as well. And it mentions that same fact in that particular PowerPoint slide. 
Operator: Your next question comes from the line of Charles Nguyen from Neuberger. 
Charles Nguyen: How is the Board thinking about the cash on the balance sheet at this point? And have the priorities changed at all given the pullback in the stock? 
Ronald Packard: No, I don't think we have less the stock price change what we do in any way to reform. I think the only difference is we'd be more reluctant to use it as a currency for acquisitions. But as -- and we're happy to have such an healthy balance sheet. And as I've mentioned previously, we're not looking at any large acquisitions. And we like having the cash. And I think we're, obviously, very serious about potentially buying the rest of the Web. And then, we're looking at some small acquisitions, but nothing significant. So I don't think it's changed any way, shape, or form other than our -- whether we actually use it as a currency. 
Operator: Gentlemen, we have no more questions in queue. I would now like to turn the question -- the conference back over to Mr. Ron Packard for any closing remarks. 
Ronald Packard: All right. Well, thank you very much, and we look forward to seeing, we hope, most of you at the investor in March 15. Please look for the details, and we'll be able to share a lot of things at that point in time. Thanks again. 
Harry Hawks: Bye, everybody. 
Operator: Thank you for your participation. You may now disconnect. Have a great day.